Operator: Good morning, ladies and gentlemen, welcome to the Lumber Liquidators Second Quarter Earnings Call. With us today from Lumber Liquidators is Mr. Rob Lynch, President and CEO; and Mr. Dan Terrell, CFO. As a reminder, ladies and gentlemen, this conference is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Ms. Ashleigh McDermott. Please, miss, go ahead.
Ashleigh McDermott: Thank you. Good morning, everyone, and thank you for joining us today. Before we begin, let me take a moment to reference the Safe Harbor provisions of the United States Securities Laws for forward-looking statements. This conference call may contain forward-looking statements that are subject to significant risks and uncertainties, including the future operating financial performance of Lumber Liquidators. Although Lumber Liquidators believes that the expectations reflected in its forward-looking statements are reasonable, it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct. Important risk factors that could cause actual results to differ materially from those reflected in the forward looking statements are included in Lumber Liquidators' filings with the SEC. The information contained in the call is accurate only as of the date discussed. Investors should not assume that the statements will remain operative at a later date. Lastly, Lumber Liquidators undertakes no obligation to update any information discussed in this call. Now, I'm pleased to introduce Mr. Rob Lynch, President and CEO of Lumber Liquidators. Rob?
Robert M. Lynch: Good morning, everyone. I'm here with Dan Terrell, our CFO, and we are pleased to be speaking with you about our second quarter 2012 results. Overall, our team continued to execute on our key strategic initiatives and by doing so, we captured market share, expanded operating margin and delivered record results through the important spring remodeling season. We continue to demonstrate a commitment to continuous improvement in all that we do, and operate it with a unified vision. We believe our coordinated efforts strengthened our industry best value proposition of best price, selection, quality, availability and people. Through this commitment and focus, we have built solid momentum over the last 4 quarters including increasing net sales at comparable stores, expanding gross margin and strengthening control over SG&A expenses. Highlights of our second quarter in comparison to the prior year include: a net sales increase of nearly 20%, comparable store net sales up 12.4%, gross margin increased 330 basis points to 37.3%, operating margin expanded 450 basis points to 9.4% and net income grew 130%. We have consistently focused on key strategic initiatives, which we first outlined at the start of this year, which help drive our second quarter success and continued our momentum. To reiterate, our 5 key initiatives are: growing revenue, continuing to improve our sourcing, optimizing our supply chain, driving traffic through advertising reach and frequency and developing the best people to serve our customers. In terms of progress made on these initiatives, we drove consistently strong consumer demand during the second quarter through our efforts to expand the reach of frequency of our advertising. Traditionally, our message has more narrowly targeted core DIY customer and as we have previously discussed in the fourth quarter of 2011, we began testing programs to expand our reach to a more casual consumer. Building upon the success of those tests, we launched these programs on a broader scale to drive demand in the spring remodeling season and we increased the frequency of our call-to-action message. Though we had planned our 2012 advertising spend as a percentage of net sales to approximate 2011, we are pleased to have achieved leverage through a strong top line in the second quarter. We are committed to reinvesting our national advertising leverage and programs to drive traffic. We are also focused on increasing the effectiveness of our total advertising spend. Combined with strong store traffic in the second quarter, our average sale contributed to our top line growth. Our average sale in the second quarter improved more than 6% versus a year ago. We believe the increase is due largely to better servicing of our customers by our world-class sales force, reflecting strides made in our best people initiative. We have seen higher average retail prices per units sold, which indicates to us that consumers continue to prefer premium products across a wide range of categories. Further, we have continued to see solid sales of moldings and accessories, a category which includes an expanded assortment of flooring tools. To update you on our store growth. We are still on track to open a total of 20 to 25 stores in 2012. We opened 10 stores in the second quarter, which brings us to a total of 14 openings in the first half of 2012. We are pleased to have seen increases in both total market penetration as well as second quarter comparable store net sales in our cannibalized markets. In terms of our overall real estate strategy, we continue to utilize our enhanced site selection process and will appropriately balance our mix of new stores, relocations, remodels and assortment expansions as lease renewals come up. Importantly, we are also developing a store layout of the future that we can roll out to both existing and new stores. We are in the very early stages of this process but we are excited and pleased with our initial progress. To touch on sourcing. We continue to perform line reviews and consider potential product assortment expansion to align with the evolving needs and preferences of our consumer. Our sourcing initiatives and optimization of our supply chain continue to positively impact and expand gross margin. Additionally, our close working relationships with our vendor partners worldwide enable us to continue enhancing our sourcing strategies and we remain committed to seeking direct relationships with all of our vendors. As many of you know, our fall 2011 acquisition provides us with direct relationships with our vendor mills in China. I am pleased that efforts to date in 2012 have brought us closer to fully direct relationships in Brazil and throughout South America. Though we have not acquired any partners and have no plans to do so, we have restructured our sourcing and quality control practices and removed certain third-party distributors to strengthen our relationship in this key area. All of these initiatives would not be possible without the ongoing development of the Lumber Liquidators team. As we have discussed in the past, we are continually evaluating our talent and are always looking for ways to improve our management team. In the second quarter as part of our best people initiative we revamped our Lumber Liquidators University. We began a roadshow to reach all store personnel, and by the end of the year all store employees will receive in-depth training in enhanced selling skills. All of our store managers will also hear directly from me and other members of the senior team about our shared long-term goals, vision and objectives for the company. This ongoing development, both at the senior management level and within their departments, is enabling our team to commit to 1 shared strategic plan and set of initiatives. We believe Lumber Liquidators is successfully navigating through what remains a challenging retail environment, particularly for large ticket discretionary purposes. We expect uncertainty and volatility to continue in the second half and our consumers to remain cautious and price-sensitive. That said, Lumber Liquidators continues to be a very strong company with a value proposition that resonates with consumers. I have great confidence in our ability to build on our recent success. To continually improve, expand our store base and further capture market share in the industry. The investments we made are generating immediate dividends and stand to further enhance the company in the future to grow both net sales and earnings for the remainder of 2012 and beyond. I'd now like to turn the call over to Dan for a detailed review of our financial results and outlook, and then I'll return with some closing remarks. Dan?
Daniel E. Terrell: Thank you, Rob. Good morning, everyone. I will provide additional details on our results for the second quarter and then update our outlook for the remainder of 2012. Our references to percentage and basis point changes are in comparison to the second quarter of 2011, unless otherwise noted. Net sales increased 19.9% to $210.3 million driven by a $21.7 million increase at comparable stores and a $13.2 million increase at noncomparable stores. As a reminder, we generally consider a store comparable on the first day of the 13th month of operation. At comparable stores, the net sales increase was 12.4%, which we believe was the result of a 6.3% increase in our average sales and a 5.8% increase in the number of customers invoiced. Our average sale was approximately $1,625, up nearly $100 from the second quarter of 2011 due primarily to the following factors: First, we saw higher average retail prices per unit sold as customers continued to prefer premium products across a broad range of merchandise categories. In addition, though our April Big Sale was once again successful in driving incremental demand, a lower level of discounting during the sale preserved a higher average retail price. Second, we continue to drive increases in the sales mix of moldings and accessories, which now include our flooring tools. These merchandise categories grew to 15.8% of our net sales in the second quarter of 2012, up from 14.4% in the second quarter of 2011. Finally, we saw slight increases in the volume of flooring per sale, primarily measured in square feet. With respect to the number of customers invoiced, we believe the increase was primarily the result of greater recognition of our value proposition due to our efforts to expand our advertising reach and frequency. Fewer noncomparable stores operating in existing markets and comparing 2012 to 2011. At June 30, 2012, we were operating 14 noncomparable stores in markets with at least 1 comparable store, down from 30 stores at the end of June 2011. Finally, a greater number of stores in operation for 13 to 36 months, when increases in net sales are generally higher than average. A new store generally opens without fanfare and matures in the market as customer awareness of our brand and value proposition grows. Newer or noncomparable store locations continue to drive our top line growth. In the first 6 months of 2012, we have opened 14 new locations including 10 in the second quarter. Combined with the 13 new stores opened in the second half of 2011, we have 27 more stores operating at June 30, 2012 than at the end of June 2011. Overall, our new stores continue to meet and exceed our estimates. As Rob discussed, we are pleased with our team's coordinated efforts to improve the site selection and total market penetration. This productivity of our noncomparable stores relative to our base of comparable stores has been stronger in 2012 than 2011 even adjusted for maturity. Our noncomparable stores averaged 6 months of operation in the second quarter of both 2012 and 2011. In the first quarter of 2012, our noncomparable stores had averaged 8 months of operation, much more mature than the 5 months of operation averaged in the first quarter of 2011. Turning to gross margin. We saw a benefit from improvements in both the cost of product and transportation in the second quarter of 2012. As a result, gross margin improved 330 basis points to 37.3%, matching the first quarter of 2012. As many of you know, our second quarter gross margin has historically been lower than our first quarter, due in general to heavier promotion in the spring remodeling season, particularly during the April Big Sale. Our 2012 April Big Sale was successful in driving incremental traffic, but due to the strong demand throughout the quarter the sale represented a lower percentage of total net sales in 2012 than in prior years. In addition, we more effectively maintained retail price discipline at the point-of-sale and we believe gross margin was only 20 basis points lower in 2012 due to the incremental net sales from the April event: half the impact of the prior year. Overall, our cost of product continued to benefit from shifts in our sales mix and the continuing benefit of our sourcing initiatives. Together, these benefits drove an improvement of approximately 215 net basis points. Within our sourcing initiatives, gross margin continued to benefit from the impact of line reviews and the establishment of direct relationships with our vendor mills, particularly in China following our September 2011 acquisition. Within our sales mix, gross margin benefited from the continuing customer preference for our premium products and the increasing mix or attachment rate of our moldings and accessories. Within transportation, we believe gross margin benefited by approximately 120 net basis points due primarily to the following: Lower international container costs, lower domestic fuel costs, more efficient domestic delivery from our warehouses to the first sales floor and greater control of unit flow and related costs from the first sales floor to the customer. From a rate perspective, our average international container cost impacting the second quarter was less in 2012 than 2011. Though container rates are generally rising, our average rate is impacted by a combination of East and West Coast deliveries and the utilization mix of 20-foot and 40-foot containers. We believe investments in our product allocation and distribution teams have more efficiently matched unit flow with customer demand, and as a result, we have reduced the units transferred between stores. In addition, our supply chain has worked closely with store operations to control the cost related to customer delivery. Together, we believe these initiatives benefited gross margin by approximately 35 basis points. Partially offsetting these transportation benefits, gross margin was adversely impacted by a reduction in the percentage of units received directly at our stores. The transition of certain products to new vendor mills as a result of line reviews lowered the percentage to 18.6% from 27.7% in the second quarter of 2011. Increasing the percentage of units received directly at our stores remains a strategic goal and we continue to believe that our full-year 2012 percentage will exceed the 23% achieved in 2011. We believe increases in certain other costs reduced gross margin by approximately 40 net basis points including an increase in our inventory reserve for loss and obsolescence, a reserve for reimbursements due from a Brazilian vendor and our continuing investment in quality control. Selling, general, and administrative expenses increased approximately $7.6 million or 15%, to $58.7 million due primarily to higher net sales and growth in our store base. But as a percentage of net sales, fell to 27.9% from 29.1% in the second quarter of 2011. Salaries, commissions and benefits increased to 12% of net sales due primarily to an increase in the commission rate paid to our store management, significantly higher accruals from annual management bonuses and an increase in certain benefit costs. Our advertising spend increased by approximately $700,000 in comparing the second quarter of 2012 to 2011, but we'd leveraged that spend 110 basis points due to higher net sales at comparable stores in a larger store base. As Rob discussed, we continue to reinvest in our value proposition by broadening the reach and frequency of our advertising and reallocating our spend to more effective media channels. Other SG&A expenses for the current quarter include approximately $700,000 to fully reserve notes receivable from a Brazilian supplier. In addition, bank card discount rates were higher due to greater customer preference for extended term, promotional financing programs offered through our proprietary credit card. The effective tax rate was 38.6% down from 39.5% in the second quarter of 2011 due primarily to lower state income taxes and the timing of certain reserve changes, mainly in the prior year. Net income increased 130% to $12.2 million or $0.43 per diluted share based on approximately 28 million average diluted shares outstanding. Net income for the second quarter of 2011 was $5.3 million or $0.19 per diluted share based on approximately 28.4 million weighted average diluted shares outstanding. We continued our share repurchase program in the second quarter, and through June 30, 2012, had repurchased approximately 1.3 million shares of our common stock on the open market at an average price of $26.34 using approximately $34.3 million of our $50 million authorization. Cash and cash equivalents totaled $31.5 million at the end of June 2012 compared to $61.7 million at December 31, 2011 and $33.4 million at June 30, 2011. The total inventory balance at June 30, 2012 was $211.6 million and our available inventory per store was $664,000. At June 30, 2011, available inventory per store was $631,000, and at the end of March 2012 it was $578,000. Available inventory per store as of June 30, 2012, has increased in comparison to prior periods due primarily to the continued supplier transition in certain key merchandise categories subsequent to the completion of several line reviews. Inventory levels were elevated in laminate, bamboo and engineered hardwood as we transition certain existing products to new vendor mills. With these transitions taking place in the important spring remodeling season, elevated inventory levels safeguarded positive trends in net sales. We expect to complete this transition by the end of October and we continue to target available inventory per store to range from $540,000 to $560,000 at the end of the current year. Working capital was $163.3 million at June 30, 2012 compared to $157.9 million at June 30, 2011 with the current ratio at 2.8x and 3.2x, respectively. Capital expenditures totaled approximately $3.5 million for the second quarter of 2012, compared to $4.1 million for the second quarter of 2011 with the decrease primarily due to the fewer new store openings and lower capital expenditure for our integrated information technology solution. We now expect capital expenditures to total between $11 million and $14 million for the full year. Turning now to our updated outlook for 2012. As Rob indicated, we continue to face a challenging and uncertain retail environment, particularly for large-ticket discretionary purchases. Though we have seen some year-over-year improvement in certain home improvement metrics, the levels remain historically low. We continue to expect demand volatility in the second half and our consumer to remain cautious and price-sensitive. That said, we believe we will continue to capture market share and we remain focused on continuous improvement. As a result, we now expect net sales for the full year in the range of $750 million to $775 million, up from the previous range of $720 million to $750 million with a mid-single-digit increase in net sales at comparable stores. We continue to expect 20 to 25 new locations in 2012. We now expect 2012 earnings per diluted share in the range of $1.30 to $1.42 based on a diluted share count of approximately 28 million shares, exclusive of any future impact of our share repurchase program, up from a previous range of $1.10 to $1.25, which was based on a diluted share count of 28.4 million shares. I will now turn the call back over to Rob for his closing remarks.
Robert M. Lynch: Thanks, Dan. As we look ahead, we remain confident in the strength and positioning of our unique value proposition, profitable store model, our approach to growth and our emphasis on continuous improvement in everything we do. Our financial position is strong and we look to continue our focus on long-term growth in both net sales and operating margin. Our team is excited and motivated by the opportunities that lie ahead. Our value proposition continues to resonate well with consumers, and we look toward the back half of the year and into the next, we are confident in our ability to continue to drive traffic, improve our operations, expand our operating margin and grow our footprint. Before we turn the call over for your questions, I would like to thank all of our associates in the U.S., Canada and Shanghai for their dedication and ongoing efforts. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Budd Bugatch of Raymond James.
Thomas J. McConville - Raymond James & Associates, Inc., Research Division: It's actually TJ McConville filling in for Budd. First question for you folks is sort of on the progression of that impressive comp throughout the quarter. Dan, you sort of hinted at it when you talked about the annual Big Sale, but any color you can provide as to sort of the cadence of the sales pace throughout the quarter?
Daniel E. Terrell: Yes, in a couple of places we mentioned that there was continuously strong demand. So, we did have a successful April Big Sale that drove incremental traffic. We were able to hold our pricing discipline so it didn't have as much impact on margin. But we were pleased that the initiatives that we had in place, the expansion of our advertising programs drove consistent demand across the quarter and we finished as strong as we started.
Thomas J. McConville - Raymond James & Associates, Inc., Research Division: That's good news to hear. And on the ticket increase, you talked about the demand for premium goods within category. Are we getting any sense of a switch between categories, maybe from the laminates up to the engineereds, or the engineereds up to the hardwoods, are we starting to see that at all yet?
Daniel E. Terrell: Not of any significance. Still, the premium product preferenced by the consumer is in the lower than average retail price point categories, the laminates, the bamboos and some of the engineered hardwoods. We really haven't seen any kind of major shift back to the solid hardwoods yet.
Thomas J. McConville - Raymond James & Associates, Inc., Research Division: Last one for me then, Dan, would be on the expectations for the ad expense leveraged throughout the rest of the year. It sounds like the second quarter sales took you back a little bit, but how about the rest of the year, would you expect that percentage to be flat in the third and fourth quarters?
Daniel E. Terrell: We've said, and we're continuing to say, that we're going to invest our advertising dollars at roughly the same rate we did last year, rate as a percentage of sales. As you said, we were able to generate more traffic and more sales volume in the second quarter with that investment by broadening the message in the consumer base, as well as reallocating some of the dollars to more effective programs. And that's going to be our cadence in the second half that we'll go into each quarter expecting to spend the same percentage of net sales as we did in the previous year.
Operator: Our next question comes from Brad Thomas of KeyBanc Capital Markets.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: Just a question on the store growth rate. Obviously, this is a year where you guys have slowed the rate of growth. With the success that you're having in advertising and some of the in-store initiatives, is this kind of high-single-digit to 10% unit growth rate the right rate for the next few years or do you think you may want to accelerate that again?
Robert M. Lynch: Yes, this is Rob, I'll take that. What I would reiterate is that we continue to be very excited about our opportunity to expand. We feel that we have a significant opportunity to expand both on our existing stores and our new stores. Hopefully, this quarter shows that we have a powerful store model. It throws off a lot of cash. We have short-term leases that gives us flexibility. So, the thing that we did this year was, under the umbrella of driving continuous improvement, we slowed that pace down so the could kind of dig in. We mentioned on the call some of the benefits for the new stores and the improvements in the site selection process. And we also talked about our store format of the future. So what we're doing is, is we're being really thoughtful about testing and kind of looking under the hood in the other parts of the real estate strategy and that's going to be kind of where our focus is going forward. We're not prepared to talk about any change in the new stores, going forward where we feel good about where we are for this year. We're on track to hit that number. And again, the short-term [indiscernible] Are really going to be around continuous improvement on the other parts of real estate strategy, which we are -- we're excited about what's going on with the site selection and we're excited very much so about how the new stores are doing. So we -- I think the exciting thing is that we see opportunities as we did this quarter to improve the comp stores, as well as the new stores as we go forward and as we come out with that new format.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: Great. And, Dan, if I could follow up on some of your comments about transportation costs. I think you said that was a 35 basis point benefit this quarter. If memory serves me, it was about a 65 basis point benefit in the first quarter. I know there are a number of kind of puts and takes here. What are you expecting in terms of transportation net impact in the back half of this year?
Daniel E. Terrell: Brad, we actually had 120 basis point as we group it under transportation for the second quarter. So stronger than the first quarter now gives us about 90 basis points of improvement for the 6 months. Within that, I called out 35 basis points of really what are controlled expenses. Once it's delivered to the first sales floor, can we control transfers between stores and make sure we've got the proper revenue and cost equation for delivery to the customer. And we felt that those controls we've put in place benefited us by about 35 basis points in the second quarter. Transportation from an international container rate perspective is going to continue to increase. At least we believe it will into the third quarter. Whether the overall demand is there to sustain that throughout 2012 will be a question. But right now we're preparing for higher rates to continue into the second half of the year. We think we can mitigate some of those increases through some of our supply chain initiatives, including more direct deliveries to the stores, continuing the look for the most efficient route between warehouses and stores. So, we see rising costs. We actually think domestic fuel may actually wind up stable to down, just a, again, a function of the macroenvironment. Expect second quarter benefit to be the largest of the year, but we think we can mitigate rising costs through supply chain initiatives.
Bradley B. Thomas - KeyBanc Capital Markets Inc., Research Division: Great. And if I could just follow-up on the earlier question about trends in the quarter. I mean, it sounds like your run rate, still very good. Obviously, the company is up against much tougher comparisons in 3Q and 4Q. I think your guidance technically implies about a 2.5% comp in the back half of the year. Why wouldn't -- will we see higher than 2.5% comp in the back half of the year? Is there anything besides the comparison that you think can slow things down? I'm just trying to get a sense for how you guys are suggesting we model the back half?
Daniel E. Terrell: Brad, I think it's more of a factor of uncertainty and volatility that we expect from the consumer for large ticket discretionary. As we look at these last months of 2012, with all that's going on in the macro economy we're a little concerned about what that might do to our consumer. We believe we've still got the ability to take market share. We're in a highly fragmented market, as you know. The initiatives we're putting in place -- or that we have in place will continue to drive traffic. The sourcing initiatives provide us with a currency to continue to grow our operating margin as we drive that traffic. So, the guidance is reflective of us continuing to execute, but in a very uncertain macro environment.
Operator: Our next question comes from Peter Keith of Piper Jaffray.
Peter J. Keith - Piper Jaffray Companies, Research Division: I was hoping to get a little more detail on some timing around the line reviews. So, it's my understanding you potentially completed line reviews for laminate, engineereds and bamboo at this point. Curious on how those are rolling in from a timing standpoint as a gross margin benefit? And then, if there's been any other line reviews completed beyond those 3 categories at this point?
Robert M. Lynch: Yes. What I would say is we are very pleased, obviously, as you see the margin pick up and how the line reviews are flowing through. And I think the -- we want to reiterate the long-term there that we see this as a multi-year, ongoing process and that's going to be cumulative. Yes, you're pretty close on the percentage of the line reviews that have been completed. They're still flowing through in terms of the ones that have been completed and then we are in the process of scheduling and conducting additional ones so that we compete the entire business as we go forward. We don't have specific timelines on that, but our expectation is, is to continue to do them one at a time, implement and execute them appropriately.
Daniel E. Terrell: Yes, Peter, I would -- I might add that you've probably seen the full impact of the laminate line review and beginning to see some of the bamboo line review and some of the engineered hardwood line review. The laminate line review was the first we did and I think you need to think about it as we're passing through this percentage of our sales mix the first time, but this isn't a one-time event. We may continue to go back and look at components within the laminate category itself and have many line reviews, if you will. So, we're going to pass through all the categories. We certainly could come back and look at where we may still have opportunities within the assortment.
Robert M. Lynch: To add to that too, the laminate alone was the first one we did. And these things are -- they evolve over time. So, Dan is absolutely right, as we get through and complete all the other categories including moldings, including accessories -- we're going to go through everything -- we'll cycle back around and get back to laminates. And based on my experience and our expectations, there absolutely could be continued benefits there as we come back around to that one. And I also mentioned, to give you a little more color, we talked about Brazil getting closer there and more direct. That's again, that's part of the overall strategy around line reviews and getting closer to our vendor partners and taking more control over our sourcing. That, in and of itself, will get benefits and actually will lead to line reviews there as well down the road as we get closer to the mills down there and actually look to expand the mill base.
Peter J. Keith - Piper Jaffray Companies, Research Division: It's helpful, and it's actually a great time for the second question I had which was on the direct sourcing in South America. How should we think about that benefit in the context of what you've gotten with the Sequoia acquisition? I know Sequoia was probably handling about 40% of your sales. I'm guessing that South America third parties are handling a much smaller percentage, but at the same time you're not bringing on additional cost of an acquisition. So how should we think about that benefit relative to what we're currently seeing here with Sequoia?
Daniel E. Terrell: Peter, you're right in thinking about the size differences between China and South America. Based on the mix right now, South America is maybe a quarter of what China represents. If we see in some of the solid hardwood sales mix begin to shift back at sometime in the future, that may become a larger percentage of our mix again. But overall, we're pretty excited with the changes that we've made. We're striving to make sure we've got a direct relationship wherever possible. That certainly sets the stage for future line reviews once we have that direct mill relationship. And the investment in some of the QC/QA in Brazil -- we started that some number of years ago. We believe it was top-notch and we found a different provider who's also going to provide us with top-notch service there. So, the cost structure may change a bit. Going to the mills directly will certainly add some benefit. But from a scale perspective, it's about 1/4 or even -- the benefit is probably even less than 1/4 of what the China benefit was.
Peter J. Keith - Piper Jaffray Companies, Research Division: That's helpful. The last question I want to ask was the impressive mix shift you saw in attachments with moldings and then tools -- was that driven by -- was there acceleration with molding attachment or are you starting to see some real nice pick up with tools as those came into the store in the second quarter?
Robert M. Lynch: This is Rob. What I would say is that has to do -- really, it's a benefit out of our drive and focus on continuous improvement. As our chief merchant, Bill Schlegel, and his teams have dug in with the vendors and done these line reviews, it's not just been about first cost. It's been about the assortment, expanding. Dan just mentioned expanding -- one of the most exciting things about Brazil and South America is of us getting access from a assortment perspective to an expanded assortment and expanded supplier base both in Brazil and outside of Brazil and other countries in South America. That's exciting for us long-term in terms of having the best selection in the industry. Back to your question on accessories and moldings, it's really about attachment. I think it's also about improved assortments across those categories coming out of the line reviews, and as we've upgraded and invested in our merchant team -- and then, I also think it's a nice -- and that we're getting a nice benefit from our best people initiative, and the focus and the training and the improvement and execution at the store level. Leveraging our SAP system, reporting and tracking more -- better at the store and associate level on attachments and how we are meeting our customers' needs. So, that's really what it's more about. Tools is a nice add. It's a no-brainer complement for our customers as they need a tool to install a floor. But I would say that was partial, but more significant were the other 2 things in terms of overall general improvement of all the accessory assortments and then -- and our folks in the stores.
Operator: Our next question comes from David MacGregor of Longbow Research.
David S. MacGregor - Longbow Research LLC: Just while we're on moldings and accessories, maybe start there. How much of the improvement was just related to the revised incentives programs at the store level?
Daniel E. Terrell: Hardly attribute direct relationship between incentive and the attachment rate, David. But I'm right there with Rob in that it's our people, having the right accessory there and presenting them well to the customer and adding flooring tools, which was the natural extension, all makes sense. But it takes the person to make sure that they [indiscernible] out the ticket for the customer. So, I think the best people initiative is the main driver of the increase.
Robert M. Lynch: I want to add to that too, everybody is, what I see there too, is pulling it up a level. The company is really working well together. Across departments, we've made significant improvements in -- around, again -- I'm going to beat on this -- continuous improvement. Our supply chain teams have stepped up and driven continuous improvement. We invested in expanding our DCs last year. We've invested in our merchant teams. We've invested in our best people initiative and the training and then leveraging the SAP, measuring and incenting -- yes, the incentives are part of it, too. But I would tell you, my sense is the overall engine is running better, it's tuned up. From a store -- think about it from a store perspective. The quality of the shipments that are coming, the timeliness, the availability of the product, the improvement in the assortments, the improvement in the advertising and recent frequency in terms of driving traffic. It's all making the stores' jobs easier. They have -- I mean, think about that, you free up an hour for the average associate in the store, and that gives them an hour to sell the whole project. To attach, to give you what you -- everything you need for that floor and not just the floor. I think that's a lot of what we're getting too, some real good side benefits from just better executing across the board.
David S. MacGregor - Longbow Research LLC: Okay. I guess I want to ask you about gross margins and kind of the longer-term perspective here. I mean, Rob, since you've arrived, you've obviously been a very positive catalyst to the performance of the organization and so a lot of changes have been made. The company was always kind of a 34% to 35% gross margin generator. Now, we're seeing 37%. How do we think about where we are going longer terms in terms of -- with all the initiatives that you have underway, where are we going in terms of a more normalized gross margin?
Robert M. Lynch: I would tell you the -- I don't have a specific number for you, I would tell you it's all about continuous improvement and reaching our full potential. And that we believe, confidently, that there -- this is a multiple year benefit and that it would be cumulative and we're going to stay focused on it. So, more to come. Stay tuned.
David S. MacGregor - Longbow Research LLC: Do we think about it correctly by thinking about expanded gross margin, or is the right way to think about it as you're just going to have more resources to take down into advertising and promotion and market share development?
Robert M. Lynch: I think it's -- knock on wood -- we are very excited that we have the opportunity to do both. And it's not just in the sourcing and in the merchandising team but what Carl Daniels and our supply team is doing in supply-chain. What the stores are doing in their execution. Dan talked about it and hit on it relative to some of the things the stores are doing to protect the margin. All that adds up and creates a fuel and the currency for us to reinvest. And we're excited about that. And we're going to -- as we did in this quarter -- we see the ability to reinvest in the advertising, in the promotions and some in the margin, but also drive a nice chunk of it into operating margin expansion as well. So I see it both of those things happening going forward and it's not one or the other.
David S. MacGregor - Longbow Research LLC: Last question. Just, you're spending more on advertising, so presumably you're improving your draw rates. You've improved incentives at the store level, so presumably increasing your conversion rates there as well. What does this all mean for -- how we should think about new store productivity or productivity of new stores over the first 3 years going forward?
Daniel E. Terrell: Dave, we've always targeted the mid-50 range for new store productivity. We certainly saw that increase significantly due to some of the changes in maturity. But we've invested in our real estate people as well as our process and we are -- we do feel like we're getting better locations. And I don't mean just physical locations, but locations that are in traffic areas, that are appropriate to our value proposition, that are laid out well and with the best people in place. So the stores, while we haven't changed our advertising strategy around a new store, we're certainly more prepared to open that store and execute well. Because of that, we've seen new store productivity rise into the mid-60s. We expect that to settle down in our guidance for the second half of the year. But while we don't have a specific number, I would say, the mid-50s are probably going to look low in the periods to come.
Operator: Our next question comes from Matt McGinley of ISI.
Matthew McGinley - ISI Group Inc., Research Division: I had a follow-up question on the one that was asked on gross margin. So, of the 250 basis points you've got in the second quarter as it relates to mix and sourcing, how much was the split of that between what you got from mix and sourcing. It sounds like in the longer term, you said that you thought a lot of these benefits would be sticky and that you could continue to ramp this up over time. But given you ran at 37.3% for the last 2 quarters, and as you said before, the second quarter is typically your lowest quarter for gross margin, would you expect that just, mathematically, based on the way that the business trends, that you would have a higher margin rate in the back half?
Daniel E. Terrell: Matt, certainly, the way the business has trended in the past, we would expect Q3 and Q4 to be higher than Q2. Normally though, we wouldn't have expected Q2 to be at the same as Q1. But that said, we may see some continued improvement. Certainly, on a gross basis. But just as we've said in some of the previous discussions, we're going to look at that as a benefit that we're going to reinvest to drive traffic and capture share. So while we expect that we can still continue to expand gross margin, we're going to keep that option open. We haven't broken out the 2 drivers within the 250 basis points, but I will tell you that there's a significant piece from each. The moldings and accessories, capturing more sales mix drives that cost of product, and the sourcing initiatives have just been a continuing cumulative source of benefit.
Matthew McGinley - ISI Group Inc., Research Division: Got it. And then on the -- the second question would be on the transport cost, you called out the decline in direct store shipments declining from 27, 18 [ph]. I'm not sure if you were talking about that was a 35 basis point impact that you had on that? And if so, I guess when would you cycle through, when would you expect to get back up to the same kind of direct-to-store shipment rate and if that 35 basis point is not correct, what was the impact that you had specifically in the quarter and then, how does it cycle through for the rest of the year?
Daniel E. Terrell: The 35 basis points was actually related more to our store-to-store transfers and then store-to-customer costs. So from the first sales floor, all the way to the customer, we put some controls in place executed at the store level, as well within the supply chain to reduce this cost. So we got a 35 basis points of benefit there, which we think we'll be able to maintain in the second half of the year. The direct-to-store program rates are lower as a percentage of total receipts as we transition vendor mills. As you transition a product line from 1 vendor to another, it's hard to immediately have that vendor mill supply the entire product need. So we bring more of it through the warehouse so it can be allocated out to the stores. As we complete that transition by the -- thinking the end of October of this year, we'll be able to return those percentage directs over last year, and we still think for the year, we can achieve more than the 23% we did last year. Having called out the specific benefit -- but you know, some of the metrics that go into the direct versus through this warehouse. Mainly and with regard to stores west of the Mississippi, certainly on the West Coast there is significant savings in both transit time, container costs. As you start to move toward the Mississippi the benefits decrease and we are in a situation where we have slightly lower domestic fuel costs. All that to say, we're going to see some benefit by seeing those directs go up in the second half of the year.
Matthew McGinley - ISI Group Inc., Research Division: Was that a material offset to the 120 basis points you got from transportation, this direct-to-shore (sic) shipment?
Daniel E. Terrell: It's important. It's strategic.
Operator: Our next question comes from John Baugh of Stifel, Nicolaus.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: Just jump right into it, you may have approached this gross margin thing from a slightly different angle, I recall adding up between Sequoia and all the line reviews 400 to 600 basis points of gross margin potential and then the question was, how much would you reinvest in terms of lower price points or greater promotions to -- at the time, compete with some of the increased competition? And I'm just curious whether you could tell us, is that amount that you think you're going to have to reinvest less or what are you reinvesting or how do we think about that?
Robert M. Lynch: I'll start and I'll kick it to Dan. What I would tell you is we absolutely -- the gross margin benefit is definitely net of some reinvestments and promotions and driving traffic. And that's, for us, the exciting thing is, the opportunity there, as we continue to generate these benefits, we have that flexibility. And it's something that I hope you can understand that, given some of the uncertainty out there, it's something that's fluid. It changes realtime on you. And so the exciting thing is, is we have their opportunity. And our overall goal and objective is to really balance that art and science because you really can't, you can't run a model and say, this is -- John, this is exactly the amount of basis points you should reinvest. It's something that we're looking at on our daily, weekly and monthly basis as we run the business.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: So, is it fair to say though that because of your results [indiscernible], maybe you didn't have to reinvest as much as you thought? Would that be a fair to your balancing act comment?
Robert M. Lynch: Yes, possibly, but we actually -- but we did reinvest some. I mean, these numbers are net, we're just -- but we're not sharing all the details underneath.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: Well, and you shouldn't for competitive reasons. But quickly jumping to advertising, is there -- it's clearly having a positive impact. How are you measuring your reach? You mentioned this casual consumer, and I think a more direct focus on your DIY. How do you know, other than traffic, that it's being successful?
Robert M. Lynch: Yes, it's really -- it's eyeballs and eardrums. So, as you pick the channels and as we expand in terms of the channels that we are going after, as you go into it, John, what we're doing is we're thoughtfully expanding the initial reach and frequency in terms of the media buys. And then, absolutely, based on our -- based on the way we measure our events and the way we capture customer data, responses to ads, calls for catalogs and samples, and as they come into the stores, we absolutely have the ability to compare across different types of these media channels and these different types of events that we're doing and see which ones are most effective. And so, we actually have a very good kind of read on what's working and what's not working. And obviously, we're continuing to look to improve and do more of what's working and less of what's not working. The thing I would tell you too is, we're getting benefits from the reinvestment of the prior national advertising leverage in terms of spending more, but we're also gaining some nice pick up from the improvement in the ROI and the effectiveness of the core spend. Because we have not just looked at the -- it's incremental -- we've gone back and looked at everything we do and we're making -- our marketing team is doing a fabulous job of making all that more effective as well, and you're seeing some of that in the numbers, too.
John A. Baugh - Stifel, Nicolaus & Co., Inc., Research Division: So a follow-up final, on advertising, you began to implement these programs, what, the beginning of this year? So we still get a year-over-year kick for the latter 2 quarters? And then secondly, we're a battleground state here in Virginia. What do you see for media costs and trying get the same reach as we head towards the election?
Robert M. Lynch: Yes. We started testing in the fourth quarter, to answer your question specifically. We were testing some limited markets and programs. Based on those, we implemented first quarter, beginning of the year. And then, we continued into Q2, as we mentioned, to expand it even further. So, yes, I would expect we're going to continue to do it throughout the rest of the year. Relative to the campaigns and what have you, our teams are -- they do a great job at negotiating and placing our ad. We feel confident that were going to be able to find the media and the reach of frequency that we need to balance the year, based on the programs that we do. We're not concerned about that.
Operator: Our next question is from Laura Champine of Canaccord Genuity.
Jason Smith: Yes, this is Jason Smith. I'm on the line for Laura today. My question's just a quick question, if you can give us a sense as to what is embedded for ticket growth in the comp guidance going forward?
Robert M. Lynch: Ticket growth? We've come in to the year expecting it to be flattish and maybe slightly up, maybe slightly down, and for traffic to carry the ball. Haven't changed that dramatically. Certainly, we're pleased with the attachment rate increases we've been able to get in moldings and accessories. So, I would say we're now looking at probably a slight increase in ticket with the rest carried by traffic.
Operator: Our next question comes from Matthew Fassler of Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: First question relates to traffic. You obviously have the reported transaction account number, which is up nicely. And it was interesting that your advertising dollars were not up dramatically. And I wonder what you're seeing in terms of conversion rate in the stores. Obviously, over the past couple of years, there have been some distraction associated with SAP and with the supply chain. That was a bit stuck in the mud. Do you feel like it's the feet in the door that are going up or your ability to convert other -- the customers that walked in, if you have a way of measuring that?
Robert M. Lynch: Matt, I think it's absolutely both to your point. Now that the SAP is behind us, the teams are back in full stride. They've got more time and capacity to close the sale, and then we absolutely -- so we absolutely [indiscernible] our close rates are improving in the stores based on execution and training. And then, obviously, the advertising reach and frequency is driving footsteps.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: And once again -- I know this came up a bit earlier -- when you talk about reach and frequency, you levered advertising nicely. Your advertising dollars were up substantially less than your growth of stores and obviously, less than you're growth in sales. So can you just reemphasize what you're allocating away from as you increase efficiency there?
Robert M. Lynch: Oh yes, on the core spend.
Daniel E. Terrell: Yes, we're just -- we're going through and we're taking a very methodical approach under this continuous improvement philosophy and going through with the marketing teams and looking at really, just the ROI of each category of spend and each event within that category, Matt. And then even within things we're continuing to do, we're looking at where's the point of diminishing return where you can reallocate dollars away from that 1 extra catalog or that 1 batch of extra postcards and reallocate those dollars to some of these new programs that are really effective for us. So, that's what were doing. We're just managing the marketing P&L and going through and reallocating those dollars to be more effective.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Got it. Dan, in the queue and a bit on the transcript, you go through a couple of different ways of thinking about both young store comps but also cannibalization. I'm not sure if the way you framed cannibalization is the way you framed it in prior quarters. So, if you could just give us whatever comparable trends you could talk to us about in terms of cannibalization, the net impact on same-store sales and how that's evolved from Q1 into Q2?
Daniel E. Terrell: Sure, we calculated it the same way, Matt, as we have been in previous periods. Just trying to reiterate that the cannibalization is down. Really, part of it is the performance of the store, the strategy we've taken from a total market perspective. But also, just the decrease in the number of stores we have operating in markets with an existing comp store and that's how we define a cannibal. We're less than half as far as account standpoint and we've seen our -- the way we calculate cannibalization, which is comp of -- with the entire chain versus comp without those markets in it. We've seen that drop in half. This quarter, for the first time, we saw comparable stores in those cannibalized markets comp positive and the total performance of the market increased by nearly 33%. So, still calculating the same way but very pleased with the results. But I wanted to make sure everybody understood, there is a driver and that it's just a number of stores, which kind of goes with the improved performance of the stores.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: And then what is the single point cannibalization number, Q2 and at Q1, please?
Daniel E. Terrell: We were -- we calculated 130 bps in Q2, so we would have had a 13.7% increase in comparable stores if we removed cannibalized markets. Last year, I think we had significantly more, I think it was 380.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: And in Q1 of '12?
Daniel E. Terrell: Q1 was 160, maybe? But I'll have to check that. I think the total for the 6 months is now 170. I don't have the Q1 number right in front of me.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Got it. And then the final question, you talked about Brazil and some of the enhancements there. It seems like there's a couple cents of write down, essentially, as you cleaned up some of your vendor relationships there. That, if anything depressed the number that you reported, which would have been stronger, although I guess those losses are real losses. So, can you just remind us where on the P&L those losses would have shown up or did show up so we can kind of adjust them a [indiscernible] for their exclusion?
Daniel E. Terrell: Yes, that's correct. Two places. It was a vendor relationship that dates back a number of years and as we've challenged some of the relationships and looked at the expansion of mills in Brazil and South America. This is a relationship that wasn't going to be sustained. There is about $300,000 or so that is in adverse to gross margin. And then about $670,000, $675,000 in other SG&A.
Operator: Our final question comes from Rick Nelson of Stephens.
N. Richard Nelson - Stephens Inc., Research Division: You mentioned a mix shift toward moldings and tools. I'm wondering if you could speak to the tool category, specifically, which is relatively new to you, how that's performing from a sales and margin standpoint.
Daniel E. Terrell: Rick, it's very new. It really only had 2, 2.5 months while it was out there in most of our stores, so it's a little early. And I don't want to take anybody in the wrong direction, but as far as complement to the accessories, and then moldings and accessories together, I think Rob's point of the main driver being the overall supply chain giving the stores what it needs and then the fantastic people in the store increasing the attachment rate. So, it's a natural extension of what we do. It certainly makes sense to have it out there for the DIY customer, but it's still a little bit too early to start thinking of that as a driver of the moldings and accessories attachment rate.
N. Richard Nelson - Stephens Inc., Research Division: And it was also mentioned the development of a new store layout, how that might differ from the existing store prototype?
Robert M. Lynch: Yes, it's really just -- it's again, continuous improvement. As we enhance the real estate team added to the committee that drives that, with Dan on there and my chief merchant on there, my Chief Marketing Officer on there. What we're looking at is, how can evolve that thing and take it to the next level in terms of the mousetrap. So it's taking our store, our showroom and taking it to the next level. And looking at what we're doing is we're looking at it from a customer's perspective. How do we layout the store? How do we present the brand to the marketplace from the outside as you go into the store? How are these categories laid out? And what are -- what assortments and categories within the existing box could we expand and/or better present to take better care of the customer and to make it easier for our store associates. So that's kind of what we're looking at doing. It's early. We're in the strategic planning stages. We are planning as we get it developed to test it, obviously, in existing stores, new stores and in terms of existing stores, remodels and relocations. And I think that again, that's the focus towards driving continuous improvement in the performance of our existing box. And how high is that store level productivity on a unit basis at either a new or an existing store? And so that's kind of the goal and the approach we're taking. We don't have any dates or timelines on when we're going to get out there, but obviously, as soon as we get one that we can show you, we'll be happy to take you guys into the store.
N. Richard Nelson - Stephens Inc., Research Division: If I could ask about the market share gains that you referred to. Do you think perhaps, are coming from the home centers or the independent chains?
Robert M. Lynch: We operate in a very fragmented market as you look at it. And there's still 13,000, 14,000 independents out there, so we haven't seen any shift in where are the shares coming from. Well, thank you, everybody for joining us on today's call. We look forward to speaking with you again on our third quarter earnings call to provide an update on our continued progress in executing our strategy and achieving our long-term objectives.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time, and thank you for your participation.